Operator: Good morning, ladies and gentlemen, and welcome to Baxter International's Third Quarter 2024 Earnings Conference Call. Your lines will remain in a listen-only mode until the question-and-answer segment of today's call. [Operator Instructions] As a reminder, this call is being recorded by Baxter and is copyrighted material. It cannot be recorded or rebroadcast without Baxter's permission. If you have any objections, please disconnect at this time. I would now like to turn the call over to Ms. Clare Trachtman, Senior Vice President, Chief Investor Relations Officer at Baxter International. Ms. Trachtman, you may now begin.
Clare Trachtman: Good morning and welcome to our third quarter 2024 earnings conference call. Joining me today are Joe Almeida, Baxter's Chairman and Chief Executive Officer; and Joel Grade, Baxter's Executive Vice President and Chief Financial Officer. On the call this morning, we will be discussing Baxter's third quarter 2024 results, along with our financial outlook for the fourth quarter and full year 2024. With that, let me start our prepared remarks by reminding everyone that this presentation, including comments regarding our financial outlook for the fourth quarter, full year 2024 and 2025, the status and anticipated timing and impact of our ongoing strategic actions, including the proposed Kidney Care sale and cost savings initiatives. Regulatory matters and the macroeconomic environment on our results of operations contain forward-looking statements that involve risks and uncertainties, and of course, our actual results could differ materially from our current expectations. Please refer to today's press release and our SEC filings for more detail concerning factors that could cause actual results to differ materially. In addition, on today's call, non-GAAP financial measures will be used to help investors understand Baxter's ongoing business performance. A reconciliation of certain non-GAAP financial measures being discussed today to the comparable GAAP financial measures is included in the accompanying investor presentation and also available in our earnings release issued this morning, which are both available on our website. Please note, following the announcement of Baxter's pending sale of our Kidney Care business to Carlyle, the Kidney Care business met the conditions to be reported as a discontinued operation. Accordingly, the Kidney Care business is now reported in discontinued operations and the company's prior period results have been adjusted to reflect the discontinued operations presentation. Restated historical results reflecting the Kidney Care segment as a discontinued operation for the prior six quarters can be found on Baxter's website in the Investor Relations section. Discontinued operations for 2023 also include Baxter's former BioPharma Solutions or BPS business, which was divested at the end of the third quarter of 2023. Current and prior year periods now reflect the continuing operations of Baxter's Medical Products & Therapies, Healthcare Systems & Technologies and Pharmaceuticals segment. Now I'd like to turn the call over to Joe. Joe?
Joe Almeida: Thank you, Clare, and good morning, everyone. We appreciate you taking the time to join us today. I will start with a brief update on the hurricane recovery progress at our North Cove, North Carolina facility, followed by some comments regarding our third quarter performance. Joel will provide a closer look at our third quarter results and our outlook for the remainder of the year. We will also share some preliminary thoughts regarding our financial outlook following the completion of the pending sale of the Kidney Care business. Then as always, we'll take your questions. As you know, Hurricane Helene caused unprecedented devastation in Western North Carolina in the closing days of September. This region is home to Baxter's North Cove manufacturing facility, the largest plant in our global network and a critical source of IV and peritoneal dialysis fluids for the US market. I want to first recognize the amazing tireless work of our North Cove team, who have helped rapidly advance the ongoing site recovery efforts, while also navigating the storm's personal toll. Our heart goes out to the entire community and we are so proud of what our colleagues across the Baxter network are accomplishing daily to help return the site to normal operations. In just six weeks, the North Cove team has devoted more than 1 million hours collectively to restoring operations. This dedication was evidenced last week as our highest throughput IV solutions line in North Cove was able to restart production. We also expect to restart a second IV solutions manufacturing line in the coming week. Together, these two lines represent their peak operation approximately 50% of the site's total production. These key milestones were achieved ahead of our original expectations. However, I want to emphasize that in coordination with FDA, the earliest that new North Cove product could start to ship is in late November and more hard work remains as we return the plant to full production. Throughout this effort, our focus has remained squarely on our customers and their patients and our employees. And to this end, we have not spared any resource to ensure the needs of these key stakeholders are prioritized. Parallel to our North Cove recovery efforts, we have activated nine sites across our global manufacturing network to help increase available US inventory to serve our patients and customers and we work to bring North Cove fully back online. As we have shared previously, we anticipate restarting North Cove production in phases by the end of the year and our current expectation is that all lines in North Cove will have resumed production before the end of this year. Throughout this journey, our North Cove and global teams have demonstrated an unwavering commitment to Baxter's life sustaining mission. I also want to express our gratitude to ASPR, FDA and the State of North Carolina and HHS among other federal state and local entities for their steadfast support. And we deeply appreciate the patience and partnership of our customers as recovery efforts continue. We will continue providing updates through baxter.com on planned recovery supply continuity and how Baxter is making a difference for its employees in the community. Now turning to our third quarter performance. Given the pending sale of our Kidney Care business, current and prior period results for this business are now reported as discontinued operations. As Clare mentioned, restated historical results can be found on Baxter's website. For today's discussion, we will be focusing our commentary on total company performance in the third quarter, which includes the impact of Kidney Care in both the current and prior periods, but excludes the impact of the BioPharma Solutions Business, which moved to discontinued operations in the third quarter of 2023. On that basis, total company third quarter 2024 sales grew 4% on both a reported and constant currency basis, in line with our prior guidance. All of our Baxter segments increased year-over-year on both a reported and constant currency basis. As always, we benefit from our focus on essential healthcare needs combined with the diversity and durability of our portfolio. In Q3, strength in our Medical Products & Therapies and Kidney Care segments helped offset softness in the Healthcare Systems & Technologies and Pharmaceutical segments. On the bottom line, total company adjusted earnings per share was continuing and discontinued operations totaled $0.80 ahead of our guidance range of $0.77 per share to $0.79 per share. Performance was fueled by top line strength, continued improvements in integrated supply chain efficiency and disciplined management of operating expenses. Taking a closer look by segment, I will begin with the businesses that will comprise the new Baxter following the pending Kidney Care sale. Medical Products & Therapies led all segments with 7% growth at both reported and constant currency rates, filled by positive demand across the portfolio. I particularly want to highlight the strong uptake of our Novum IQ platform in the US including our large volume pump and syringe pump both between those IQ safety software. The new platform is well recognized across the market as advancing pump connectivity, intelligence infusion therapy and we foresee sustained positive momentum, both through existing customer upgrades and competitive conversions. Performance in the segment also benefited from strength globally in our Advanced Surgery division. Our Healthcare Systems & Technologies or HST segment grew 1% at both reported constant currency rates. Growth was driven by strong US performance in the Care & Connectivity Solutions division, particularly for our patient support systems products, which increased low double-digits in the quarter. This growth was partially offset by decline in US Frontline Care sales largely reflecting the ongoing dynamics impacting US Primary Care market, which we have discussed previously, plus a difficult comparison to the prior year period, which reflected the benefit from backlog reduction efforts. Softness in international Care & Connectivity Solutions also muted overall HST growth as lower sales in China and France impact performance in the quarter. We fully recognize the need to drive continued improvement in the growth profile for both the Frontline Care division and HST as a whole. Our current expectation is that the US Primary Care market begins to stabilize over the coming year. In addition, we are keenly focused on enhancing performance through innovation and launch new products to augment growth in both FLC and the broader HST segment. We have several new products scheduled to launch in 2025 and beyond that we believe will contribute to improved performance for this segment over time. Sales in our Pharmaceutical segment increased 1% on both the reported and constant currency basis. Double-digit growth in drug compounding was partially offset by high single-digit decline in our Injectables & Anesthesia division. Sales of Injectables & Anesthesia were impacted by phasing of selected sales into the fourth quarter, combined with supply constraints impacting international sales. While the performance in the quarter was disappointing, we believe the weakness is temporary and we have already observed a course correction to start the fourth quarter. At the same time, the injectable sales force continues to enhance its new product launch capabilities and remain focused on successfully driving the commercial launch of several new injectables in 2024 and beyond. Now shifting to our Kidney Care segment, which will be known as Vantive following its separation from Baxter. This segment grew 4% on a reported basis and 5% at constant currency driven by both demand and pricing for acute therapies and peritoneal dialysis products. These results reflect positive momentum as the segment prepares to operate as a separate entity. Progress on the pending sale to Carlyle continues with the process well underway. We continue to expect the sale to close in late 2024 or early 2025, subject to receipt of regulatory approvals and other customary conditions. As you know, this sale represents a key milestone across the three pillar strategic transformation we announced in January 2023. These steps also included the realignment of our operating model and the divestiture of our non-core BioPharma Solutions contract manufacturing business, both of which were executed over the course of last year. Taken together, these three transformational actions have been uniformly focused on enhancing value for all stakeholders and are powering our ongoing transformation. In addition, we remain committed to crisp execution of several initiatives across the enterprise, focused on enhancing the efficiency of our operations, heightening the productivity of research and development and offsetting the impact from stranded costs that result from the pending sale of Kidney Care. Post the separation of Kidney Care, we continue to expect our business can deliver 4% to 5% top line growth and achieve an adjusted operating margin of 16.5% in 2025 with annual operating margin expansion thereafter. I'm excited about what we have accomplished to-date, while also recognizing there's still more to do. Our progress as always is due entirely to the hard work and commitment of our Baxter colleagues globally. Whether these efforts involve restoring our North Cove facility, powering our ongoing transformation or delivering on our goals in countless other ways, our colleagues are motivated by unparalleled dedication to advancing Baxter's mission to save and sustain lives. I salute this extraordinary team today and every day. Now I will pass it to Joel, who will provide more detail on our third quarter, our outlook for the balance of the year and our trajectory following the pending Kidney Care divestiture. Joel?
Joel Grade: Thanks, Joe, and good morning, everyone. Before I begin, I would like to reiterate Joe's remarks regarding the presentation of our financial results for the third quarter. Beginning this quarter, the Kidney Care business is now reported as discontinued operations. The company's prior period results have been adjusted to reflect the discontinued operations presentation and historical restated schedules are available on our website. For comparability purposes to previously issued guidance, commentary surrounding our third quarter performance will be provided on both a total company and continuing operations basis. Now turning to some specific comments regarding the quarter. As Joe mentioned, in general, we're pleased with our third quarter results, which came in line with our expectations on the top line and compared favorably to our previously issued guidance on the top line. Excluding the effect of BPS sales in the prior year period, third quarter 2024 global total company sales of $3.85 billion increased 4% on both reported and constant currency basis. Performance in the quarter reflected better than expected sales in infusion therapies, product therapies, drug compounding and US patient support systems, which more than offset softness in Injectables & Anesthesia and HST. Sales from continuing operations increased 4% on both a constant currency and reported basis with all segments contributing to growth. On the bottom line, total company adjusted earnings including continuing operations and discontinued operations were $0.80 per share, ahead of our prior guidance of $0.77 per share to $0.79 per share. Earnings growth in the quarter was driven by operational performance and lower interest expense as compared to the prior year period. Adjusted earnings from continuing operations, which excludes Kidney Care and BPS from both periods totaled $0.49 per share and increased 14% compared to the prior year. Now I'll walk through our results by reportable segments. Commentary regarding sales growth reflects growth at constant currency rates. Sales in our Medical Products & Therapies or MPT segment were $1.3 billion increasing 7% and coming in ahead of expectations. Within MPT, third quarter sales from our Infusion Therapies & Technologies division totaled $1.1 billion and increased 7%. Sales in the quarter benefited from significant growth for our US Infusion Systems portfolio as the rollout of our Novum IQ pump platform continues to build momentum with orders coming in from both new and existing customers. US Infusion Systems sales in the quarter also benefited from strong customer demand for our Spectrum pump. IV Solutions internationally continued to deliver solid performance driven by favorable pricing and underlying volume demand. Mid-single-digit growth in nutrition globally also contributed to ITT performance in the quarter. Sales in Advanced Surgery totaled $272 million and grew 7% globally. Results in the quarter reflect demand for our portfolio of hemostat and sealants as well as favorable pricing. Strong sales and operational performance in MPT resulted in adjusted operating margin of 20% for the quarter, which represented an improvement of 50 basis points year-over-year and 200 basis points sequentially. For our Healthcare Systems & Technologies or HST segment, sales in the quarter were $752 million and increased 1%. Within the HST segment, sales in our Care & Connectivity Solutions or CCS division were $456 million growing 3%. Performance in the quarter was driven by continued strength in our US Patient Support Systems or PSS business, which delivered double-digit growth. Orders for US PSS capital increased mid-teens in the quarter driven by existing accounts and competitive wins. Performance was partially offset by a weaker sales outside of the US driven by softness in China due to ongoing government policy initiatives and the delay in the release of stimulus funding. In addition, sales in Western Europe declined on a year-over-year basis due to certain market exits and weaker demand due to delayed government funding. While year-to-date, we have seen strong order growth for our care, communications and connectivity business, sales performance has been impacted by the timing of installations as many of our hospital customers are delaying installs to future periods. Our backlog is strong and we have a very low cancellation rate for this business. And as such, we see many of these installs phasing into 2025. Finally, sales for our Global Surgical Solutions or GSS business declined as compared to the prior year period due to ongoing supply constraints, which the company continues to quickly work to remediate and expects to be largely resolved by the end of the year. Frontline Care sales in the quarter were $296 million and declined 2%. Growth in the quarter continue to be impacted by a difficult comparison in the prior year as backlog reductions positively contributed to growth in the prior year period. Performance in the quarter was also impacted by ongoing softness in the Primary Care market. We have been in close contact with our distributor partners, who have also acknowledged the challenging market dynamics in US Primary Care market. Our current assumption is that the market begins to stabilize over the course of 2025. Notably, HST recognized significant expansion in operating margins during the quarter driven by improved operational efficiency. HST third quarter adjusted operating margins of 18.1% increased 260 basis points year-over-year and 210 basis points sequentially. Moving on to Pharmaceuticals. Sales in this segment were $588 million, increasing 1%. Sales within Injectables & Anesthesia declined high-single-digits. Performance in the quarter reflected a mid-single-digit decline in our injectables portfolio driven by a difficult comparison to the prior year period, which benefited from a competitor being out of the market. In addition, sales in the quarter were impacted by some orders shifting to the fourth quarter and the delay of an anticipated new product launch. Supply constraints outside of the United States also impacted performance in the quarter. Lower sales in Injectables & Anesthesia continue to weigh our performance and declined mid-teens in the quarter. As Joe mentioned, we have seen sales rebound in this business to start the fourth quarter. In addition, the injectables team continues to enhance its new product launch playbook, given the volume of new products this team is targeting to launch over the coming months and years. Within Drug Compounding, strong demand for services continued in the quarter, resulting in double-digit growth. Given lower sales in Injectables & Anesthesia in the quarter, Pharmaceuticals margins declined both year-over-year and sequentially. Pharmaceuticals adjusted operating margins were 9.9% for the quarter. The Pharmaceuticals team is keenly focused on expanding margins through improved mix with injectables growth accelerating, taking action to stabilize the anesthesia business, driving cost improvements in the compounding business and executing on margin improvement initiatives in the integrated supply chain. Sales in the quarter for our Kidney Care segment totaled $1.2 billion, increasing 5%. Within Kidney Care, global sales for chronic therapies were $952 million, increasing 5%. Strong PD growth in the quarter was partially offset by the expected negative impact from certain product and market exits in our in-center HD business. Sales in our Acute Therapies business were $203 million, representing growth of 9% driven by strong demand in the United States. Other sales, which represent sales not allocated to a segment and primarily includes sales of products and services provided directly through certain of our manufacturing facilities were $17 million and increased 12% during the quarter. Before moving on to the rest of the P&L results, I wanted to make some comments regarding our continuing operations results. Given the reporting change moving Kidney Care business results to discontinued operations, corporate costs that had previously been allocated to the Kidney Care segment and will not convey with the Kidney Care business and the pending sale are now reported in unallocated corporate costs. These stranded costs negatively impacted Baxter's results in the quarter and prior periods but are expected to be mostly offset in 2025 through income to be received from Vantive under transition service agreements or TSAs as well as cost containment initiatives the company is in process of undertaking. As we previously stated, we currently expect to fully offset the impact of these stranded costs and loss of TSA income by the end of 2027. Third quarter total company adjusted gross margin, including discontinued operations from Kidney Care was 42.5% and represented an increase of 80 basis points over the prior year. The year-over-year expansion in gross margin primarily reflects the continued efficiencies within our integrated supply chain network as well as pricing initiatives in select markets. Overall, product mix partially offset margin expansion in the quarter. Adjusted gross margin from continuing operations totaled 43.7% and declined 110 basis points versus the prior year period driven by mix in the quarter and the impact of the contract manufacturing agreement we entered into following the sale of BPS. Adjusted SG&A, including discontinued operations from Kidney Care, totaled $871 million or 22.6% as a percentage of sales, an increase of 50 basis points from the prior year period as we continue to make select investments to support our growth objectives and new product launches. Adjusted SG&A from continuing operations totaled $665 million or 24.6% as a percentage of sales, an increase of 20 basis points versus the prior year. This increase is partially offset in another P&L line item referred to as other operating income and expense, which reflects income the company has received from TSAs entered into following the BPS sales. Total adjusted R&D spending in the quarter, including discontinued operations for Kidney Care, totaled $169 million and represented 4.4% as a percentage of sales, an increase of 10 basis points compared to the prior year period and reflects our continued investments in advancing new products across the portfolio and bringing innovation to patients across our segments. Adjusted R&D from continuing operations totaled $129 million or 4.8% as a percentage of sales and decreased 20 basis points versus prior year. These factors resulted in an adjusted operating margin of 15.6%, inclusive of discontinued operations, an increase of 40 basis points versus the prior year driven by the factors of both as well as the favorable impact from foreign exchange. Adjusted operating margin from continuing operations totaled 14.5% and reflects an approximate $55 million headwind for stranded costs, which negatively impacted operating margin by 240 basis points in the quarter. 2024 year-to-date continuing operations adjusted operating margins reflect approximately $200 million or 250 basis points of negative impact on stranded costs. Net interest expense totaled $88 million in the quarter, a decrease of $40 million versus the prior year period driven by debt repayments completed with the proceeds from our BPS divestiture. Adjusted other nonoperating income totaled $9 million in the quarter compared to income of $7 million in the prior year period. Adjusted other nonoperating income from continuing operations totaled $1 million in the quarter compared to income of $12 million in the prior year. The total company adjusted tax rate for the quarter, including discontinued operations from Kidney Care was 13.8%, decreasing 100 basis points as compared to the prior year and came in slightly lower than expectations. The year-over-year decrease is primarily driven by changes in earnings mix and incremental R&D tax credit benefits in the US versus the prior year. And as previously mentioned, total adjusted earnings were $0.80 per share for the quarter and increased 18% versus the prior year primarily driven by improved commercial performance and a reduction in interest expense. Adjusted earnings from continuing operations totaled $0.49 per share, increasing 14% versus the prior period and reflected an $0.11 per share headwind related to stranded costs. Year-to-date adjusted earnings from continuing operations totaled $1.31 per share, increasing 25% versus the prior period and reflecting an approximate $0.30 per share headwind related to stranded costs. Let me conclude my remarks by discussing our outlook for the fourth quarter and full year 2024, including some key assumptions underpinning the guidance. First, given the unprecedented impact of Hurricane Helene on the company's North Cove operations and related production. We have adjusted our full year 2024 financial outlook to reflect the estimated impact of the hurricane on our fourth quarter results. We expect the effects from the hurricane to negatively impact total company fourth quarter sales by approximately $200 million, including an estimated $40 million to $50 million impact on Kidney Care sales and approximately $150 million to $160 million impact on MPT sales. Total company adjusted earnings per share, including discontinued operations, are expected to be negatively impacted by $0.15 per share to $0.20 per share. In addition, all guidance provided on a total company basis includes the impact of Kidney Care discontinued operations and excludes the impact of BPS discontinued operations. Based on these factors, for full year 2024, Baxter now expects total sales growth of 1% to 2% on a reported and approximately 2% on a constant currency basis, reflecting the 100 plus basis point negative top line impact from Hurricane Helene. On a continuing operations basis, Baxter expects sales growth of approximately 2% on both reported and constant currency basis, inclusive of an approximately 150 basis points negative impact from Hurricane Helene. Constant currency sales guidance for the full year of our reportable segments is as follows. For MPT, we now expect sales to increase 2% to 3%, reflecting a 300 plus basis point negative impact from Hurricane Helene. Sales in our HST segment are now expected to decline low-single-digits, reflecting year-to-date results and the continued slow market recovery in US Primary Care. We continue to expect Pharmaceuticals to increase approximately 7%, which reflects the phasing of some Injectables & Anesthesia sales in the fourth quarter and better than expected sales in Drug Compounding. For Kidney Care, we now expect sales growth of approximately 2%, inclusive of an approximate 100 basis point headwind from Hurricane Helene. This compares favorably to prior guidance and reflects the underlying momentum of this business. Now turning to our outlook for other P&L line items. We continue to expect full year adjusted operating margin to increase by more than 50 basis points in 2024, inclusive of an approximate 50 basis point headwind to full year adjusted operating margin from Hurricane Helene. On a continuing operations basis, Baxter expects adjusted operating margins to decline 90 to 100 basis points. The headwind from stranded costs is expected to impact full year 2024 adjusted operating margin by approximately 250 basis points. Full year 2023 adjusted operating margins of 14.7% reflected approximately 300 basis point negative impact from stranded costs. We expect our nonoperating expenses, which include net interest expense and other income expense to total approximately $320 million in aggregate during 2024 or approximately $300 million on a continuing operations basis. We now anticipate a total company's full year adjusted tax rate of approximately 22%. On a continuing operations basis, we anticipate a full year tax rate of approximately 18.5%. We expect our diluted share count to average 511 million shares for the year. Based on all these factors, we now anticipate full year total company adjusted earnings, excluding special items and inclusive of discontinued operations of $2.90 per diluted share to $2.94 per diluted share. This guidance reflects the $0.15 per share to $0.20 per share headwind from Hurricane Helene. Additionally, given that the Kidney Care business met the criteria to be classified as a discontinued operation in the quarter, US GAAP guidance requires the company to cease the reporting of certain depreciation and amortization on Kidney Care assets. This accounting change is a full year benefit of approximately $0.10 per share, which will be reflected in adjusted discontinued operations. On a continuing operations basis, we expect full year adjusted earnings per share before special items of $1.81 to $1.84 per share, reflecting the negative impact from Hurricane Helene and an approximate $0.42 per share headwind from stranded costs. 2023 full year continuing operations adjusted earnings per share of $1.70 reflected approximately $0.48 per share headwind from stranded costs. Specific to the fourth quarter of 2024, we expect total company and continuing operation sales to decline low-single-digits on both reported and constant currency basis. This guidance is inclusive of a 500 basis point negative headwind from Hurricane Helene. We expect total company adjusted earnings, excluding special items and inclusive of discontinued operations of $0.77 per diluted share to $0.81 per diluted share. This outlook reflects a headwind of $0.15 per share to $0.20 per share related to the hurricane and an approximately $0.08 per share depreciation benefit. On a continuing operations basis, we expect adjusted earnings per share before special items of $0.50 per share to $0.53 per share, reflecting the negative impact from Hurricane Helene and an approximately $0.12 per share headwind for stranded costs. With that, we can now open up the call for Q&A.
Operator: Thank you. We are now open for questions. [Operator Instructions] And your first question comes from the line of Travis Steed, Bank of America Securities. Please go ahead.
Travis Steed: Hey, everybody. Can you hear me okay?
Clare Trachtman: Yes.
Joe Almeida: Yes, we can, Travis.
Travis Steed: All right. Great. I had two questions. I'll just go ahead and ask them a little upfront. One, I wanted to ask on HS&T in the quarter, a little bit light versus the Street. So I wanted to make sure what you're seeing in that business versus expectations this quarter and the confidence that the Primary Care market is going to improve under '25. And the second question I'll ask is on 2025. What do you assume for the hurricane impact on 2025? And how do you still get the confidence to reiterate the guidance of 4% to 5% and 16.5% on the margin, given the hurricanes and what you're seeing in HS&T at the moment. Thank you.
Joe Almeida: Thank you, Travis. Listen, let me start with US PSS. This was the biggest concern in the first quarter and throughout the year, a lot of questions. That business has grown now low-double-digits. We actually converted some really key competitive accounts. We see as not only stabilize, but start to gain market share. The team went through a lot of transformation. And I think it's getting to the point that it's really, really competitive. And the market share gain demonstrates our superiority in our product lines. Second, when I think about the orders coming in for that, we have a very healthy pipeline of orders coming into that. So about 20% growth at the moment on the pipeline. And the operational issues in PSS are all resolved. We have made a transition between two plants, and we see that going well. Care communications, we see a very healthy 14% growth in orders. That business had suffered from some delays in installation that we've seen mainly because hospital volumes are healthy, and those are an indicator that hospitals need a break to take rooms down so we can install our equipment. But the orders are in the book and the postponement of some of this installations will come into first quarter of next year and beyond. So let's focus on FLC because FLC is the core of your question in terms of we see the US Primary Care market weakness. That weakness and softness has been demonstrated by our distributors, which actually destocked some of our products throughout this year. And but we see that starting to stabilize and we see that normalize into 2025. So if I look outside the US as the third piece of this puzzle, China and France has shown weakness in their orders with capital being postponed. And so you know capital outside the US is much more prevalent for this business than in the US. And we also exit low margin business, which also shows some comp issues. Going in 2025 US PSS continued the momentum, good order levels. Surgical solutions is stabilizing from 2023 to '24 with significant growth in '23, showing some level of negative growth in '24 due to the very significant growth in '23. We go back into growth in '25. FLC, easier comps. We have significant amount of new products being launched. The supply constraints will be all but resolved, most of them resolved into the fourth quarter and is stabilized into 2025. So overall, we see the business fully recovering from most of the operational issues that we had and stabilization of the Primary Care market, which has been the biggest derailer for FLC in 2024. Let me talk about start I start 2025 and Joel take it from there. The way we see 2025, Helene is going to impact mostly Q4 of 2024. We may see some impact in the first quarter of 2025. As we announced, all lines will be producing product by the end of this year. We give priority to the highest demand and the one most critically medically needed on the market. So our one liter bags coming out of the plant, which is almost 50% of its production, will be fully operational going into 2025 and the other lines to follow. So we see this first quarter a slight impact because of that. But then I turn into a significant improvement that we made in pumps, not only we are growing, above the competitors who recently announced, but we are actually seeing significant competitive conversions, which have helped us that hence you see the growth of our business in the third quarter of 7%. That is driven significantly by pumps and sets. So I will tell you that we see great growth of 50% in 2024 and to continue significant growth in 2025. So that gives us a really good view of how our business will offset some of the Helene impact in the first quarter. HST normalizing and pharma as a fluky quarter that we had really goes back to above mid-single-digit growth mostly with injectables being driven by new products. Joel?
Joel Grade: Yes. Thanks, Joe. And Travis, I'd add a couple of things here to this related to our confidence in 2025. Number one, we are certainly anticipating continued positive impact from pricing as we've talked about heading into the next year. And then certainly, in addition to what Joe just talked about, that doesn't change. We also continue to expect positive impact from ISC, the continued MIPs and again continued to drive efficiencies that we have from the growth that we're expecting next year. So that's a second part of the positive. Third is just what I'll call the benefit of expense leverage from the growth that we're anticipating having. I think again with the growth that we're anticipating in the businesses, we're certainly expecting leverage growth from that standpoint. And then finally, there is some headwind impact of the MSAs that we've called out before, but the work that we're doing in terms of cost attainment is to eliminate stranded costs, the TSA income that we're anticipating. And I guess I'd say in addition, there's some onetime issues this year that we had that were not expected to repeat next year. So all-in-all, the idea that we essentially reaffirming our confidence in the 4% to 5% from a top line perspective and the 16.5& from the bottom line.
Travis Steed: Thanks so much.
Operator: Your next question is from the line of Robbie Marcus, JPMorgan. Your line is open.
Robert Marcus: Great. Good morning and thank you very much for taking the questions. Maybe to follow-up on Travis' question. I wanted to ask about the '25 guidance. It seems like there'll be a little bit of impact going into at least first quarter of next year. So I guess what gives you the confidence to be able to reiterate 16.5%? And do you view that as sort of a target you should be able to reach or in more like historical Baxter guidance philosophy, is that a margin that you should be able to exceed? And then I'll just throw part two of the question since it might be a longer answer. Maybe walk us through some of the initiatives you're taking to offset the stranded cost and over time the lost TSAs to be able to grow underlying operating margin expansion while offsetting some of the declining income from Vantive. Thanks a lot.
Joel Grade: Yes. Thanks, Robbie. It's Joel. I think a couple of things. First of all, I guess what I would say that 16.5% was set as what we believe was a good anchoring point for the organization in terms of how we see it, again, post separation, again, both from as we've talked about here from a growth standpoint, from a margin standpoint, again, both on the gross margin and then obviously that one all the way to the OI line. I think the -- it also was, if you remember, almost a kind of a starting point for what we said would be continued margin expansion over the longer-term horizon. And so again I just would reiterate the fact that, as Joe said, we are expecting some impact, but relatively minimal in the first quarter relative to Helene impact. And then all the things we've talked about in terms of just reiterating pricing, ISC, MIP opportunities leverage on expenses, which we continue to anticipate gaining. And so I think if you think about what how do we see our company post separation, that was the amount that we would anchor the company on for us to continue to build on over the next years to come. I think the some of the actions we're taking, certainly, if you think about these things as the what we call the elimination of stranded costs. One of the things we've talked about is this idea that we have a very dense distribution center network in the United States today because of our Kidney business. With the home deliveries of that business, we have a large number of distribution centers in the US. That ultimately will be something that we will rationalize down significantly based on our new business. This improves not only our operational efficiency. It improves our inventory management. There's a whole set of things from that perspective. We've talked about essentially the size of ensuring we are rightsized as an organization to support the size of the business going forward. And so as we plan for that, we'll certainly be taking those type of actions. And then if you think about some of TSAs, obviously, we've talked about the fact that we're anticipating TSA income in particular in 2025 to offset some of those expenses. But obviously, we are anticipating that, that's not something that will last over a multiyear time period. And so therefore, we're planning carefully on activities to ensure that as those start to fall off, we're ahead of the game and that we have the opportunity to eliminate the stranded costs, which, as we've said, we're planning to do by the end of 2027. So I'll pause there. Is there anything else?
Robert Marcus: No, that's it. I appreciate the insight. Thanks.
Joel Grade: Thank you.
Operator: We have a question from Pito Chickering, Deutsche Bank. Please go ahead.
Pito Chickering: Hey, good morning. I guess two questions here. So the first one is, like a few months ago, like IV solutions was viewed as a commodity product. In a few weeks, after the facility was shut down, hospitals and GPOs were in a full-fledged panic mode and asking for governments to nationalize companies to solve this problem. So huge congrats to your team for solving what could have been a nightmare for the country. As you look back at sort of at what happened, do you begin to spread out manufacturing among other facilities to reduce this risk in the future? And we're talking to customers that couldn't do surgeries due to bag of IV. Do you think that it's going to lead to a new recognition and increased pricing due to importance of IV bags within the health care system or is it more of a headwind as hospitals look to diversify their suppliers to multiple manufacturers?
Joe Almeida: Pito, good morning. The recognition by Baxter has been a long coming. We recognize this is not a commodity. Commodity is defined by something that is readily available and where the barriers to entry are very low. We have invested over $0.5 billion in that facility since 2016 to date with highly automated. And our recovery and the time that we are recovering is very fast compared to what some of the competitors would have experienced themselves. So they spoke on our behalf. We never did. We are much faster than they are in recovery. This shows that not only we have the ability to come back fast after a devastating event. We are producing product as we speak today, by the way, to have a worldwide network of plants that can actually bring products into this country, cross registered at lightning speed. And that is the difference between us and our competitors. Our competitors have capacity constraints every place in Europe and other parts of the world. We are able to have capacity in other parts to bring together the plant in North Cove and augment the market even faster. So we have, of course, we have some lessons learned. We're going to get even better at this, but we have facilities in Spain, UK, Canada, Mexico, Brazil, Colombia, Australia, China, just to give you few names -- a few places that allow Baxter to bring products back. Our people have done a wonderful job and Baxter is an example why this product is not a commodity. I don't want to get into pricing. What I want to tell you is that what we have invested and how we do things is what made us come back so fast and having products being produced as we speak out of that plant.
Pito Chickering: Okay. Great. And then a follow-up question on 2025. Fourth quarter sales are impacted by the $200 million split between Kidney and Medical Products & Therapies. Because distributors and providers that are drawdown on inventories to supply patients when North Cove is offline, as you think about the first quarter of '25, shouldn't we get back the bulk of the $150 million to $160 million back from IV as you restock the inventory channel? Just looking at the revenue guidance for next year, it's implying revenue growth of less than $500 million. And I'm wondering why that $150 million to $160 million sort of loss in the fourth quarter didn't sort of recover next year so that revenue growth may be sort of conservative.
Joe Almeida: Yes. Pito, if you think about something similar that happened to us in the past was Maria. So I think there is -- we have not factored that in the calculus yet because we need to get certainty that all lines are producing at pre-Helene volumes. But of course, you're going to have, you have a destocked situation, not only in Baxter's inventory, but also in the market. And I fully expect us to be producing 24/7 for many, many, many months trying to restock the market and trying to get things back at the level they were before and furthermore, also offer some alternatives for people to stock things that they need that they have not stocked in the past. So I think I see potential upside on that area, but we need to get our lines all fully up to speed, and then we go from there. But I find that as an opportunity that we have not explored yet fully.
Pito Chickering: Great. Thanks so much.
Operator: Your next question is from the line of Vijay Kumar, Evercore ISI. Please go ahead.
Vijay Kumar: Hey, guys. Good morning and thanks for taking my question. Joe, maybe off of those comments you just made, right? What is the right framework for fiscal '25 guidance? Is the 4% to 5% organic growth coming off of a lower base? And if I understood you correctly, you're not assuming the $150 million of the IV fluid shortage impact to come back next year, right? Are those lost revenues or should they come back to Baxter? I'm just trying to see what is the conservatism being baked into this guidance.
Joel Grade: Yes. Vijay, I guess what I would say is that, I mean, so and as Joe talked about, again, the revenue ramp again in the year, there's going to be some potential impact that we've talked about here in the first quarter. But again we're certainly comfortable holding our guidance of the 4% to 5%.
Joe Almeida: So I'll add, Vijay, what are the builders for this of 4% to 5%, okay? So first is in the very beginning of the quarter, of course, we have an impact of the plants coming up to speed. But as I said in the previous question to Pito was specifically, we will see a destocking and then a restocking and that balances out the rest of the year. So the first thing is you may see a dislocation of growth just because what comes in the first couple of months of that early in the year, picking up towards the end of the year, first of all. Second of all, the product launch that we have primarily in the three businesses. We have five remarkable product launches coming out at HST. We have several molecules that are slated for 2025, coming off a significant amount of launches in 2024 and our pharma team getting much more accustomed to a large number of product launches. And our pump, which is doing extraordinarily well in 2025, in 2024, following 2025 just to underscore, again, 50% growth in 2024 with significant potential for growth in 2025. So those are the main drivers then of the top line. Bottom line will be mostly driven by the drop through of this innovation. When you start restocking the market with IV solutions, those have disproportional better margins that go into the business. Thirdly is the efforts that we already started in 2024 is offsetting the stranded costs that we start to come in to -- which will offset the difference between our TSAs and our cost of doing the TSAs. So the strength of our conviction today at the moment are on the top line buildup I just told you and also the ability to offset that and the manufacturing cost reductions that continue like clockwork come in every single year is slightly better than we planned.
Vijay Kumar: Understood. And maybe my second one for Joel. When you look at the operating margins in the third quarter, 14.5%, it's down optically I think 90 basis points year-on-year on a comparable basis. Is that like an apples-to-apples comparison, Joel? Any cost allocation which makes the comparison hard? And the reason I'm asking is when you look at the 16.5% for next year, that's a 200 basis points jump off. Are there the bridge to that 16.5% and any implications on free cash flows and guidance, excuse me, dividend policy? Is Baxter committing to hold the dividend yield? Thank you.
Joel Grade: Yes. So thanks, Vijay. I think there are a couple of things here. First of all, again, one of the things that we've talked about previously is the difficulty of comparison, if you will, between what you'd see on a continuing operations basis and next year. Recall, please, that the continuing operations in the fourth quarter includes stranded cost that is essentially was previously allocated to kidney, but now is actually sitting in, I think, what we call unallocated corporate cost. And in 2024, that does not yet show the impact of some of our cost outwork. And so if you look as we head into 2025, that 16.5% still clearly represents the opportunities that we're taking on the things that Joe just talked about in the previous question. But in addition to that, starting the work on receiving TSA income against our expenses, starting the work of our cost-containment measures that we're already starting to take this year that will start to impact next year. And so I guess that's the way I would think about this thing. Again it's not necessarily a comparison that you can make based on what we have on a continuing ops basis here versus the 16.5% next year.
Vijay Kumar: Sorry, on the dividends?
Joel Grade: Yes. And from a free cash flow standpoint, I think, just kind of a couple of comments on this year, obviously, this year has been a choppy year from a free cash flow standpoint. We continue to have separation-related costs that are impacting this as well as, I'd call, some discrete items we've had in the first -- particularly the first half of the year. We do have seasonality in our cash flows that happens as we head into the second half of the year. And we certainly anticipate, as usual, some continued seasonal positive impact as we head into the fourth quarter. The one thing I would remind you also of those is that we do now have some cash flow impacts that were that are occurring from North Cove. And so while there is a -- we will have some insurance proceeds that will be coming back as an offset to that. There will be some impact from both the fourth quarter and heading into next year from a cash flow perspective for North Cove. But again, our cash flow as we head into next year, we anticipate continued leverage from an expense perspective, continued benefits from the improved working capital. And again just a generally beneficial perspective from the proceeds of the Kidney Care sales. And obviously as we head into the second part of the year, we've targeted again three times leverage by the end of the year. Again, with a combination of free cash flow, the proceeds of Kidney, we're certainly anticipating being on track for our cash flow forecast in the second half of the year.
Clare Trachtman: And with respect to the dividend, do you want to comment on the dividend too as well then?
Joel Grade: Yes. So from a dividend perspective, obviously, we are anticipating, as we've said, resetting our dividend from the perspective of essentially resizing it, if you will, based on the new size of our organization. We are committed to a dividend and we obviously will be coming out with that shortly here as it relates to what the sizing of it will be.
Vijay Kumar: Understood. Thanks guys.
Operator: Your next question is from the line of Joanne Wuensch from Citi. Please go ahead.
Joanne Wuensch: Good morning and thank you for taking the question. I'll put them both right upfront. I'd love to get your view on what you're seeing in China and with that, the discussion of the week, the potential for tariffs and the impact. And then as a secondary question, just anything you could add on what you're seeing in new uptake of your Novum pump and expectations for next year. Thank you.
Joe Almeida: In China specifically, Joanne, China post Vantive for Baxter is going to be with some of the exits that we're having right now, less than 2% of our sales. So the impact for us is quite small despite the fact we had some impact this quarter for HST in the VBP. But it's remarkably different, the new Baxter versus the old Baxter. So the tariffs that we're talking about here would be very much related to raw materials, will be chips that we still buy there and other things that will impact the industry in general. But we do not make specifically products in China for the US as Baxter. Even today with Vantive, with the renal business, we don't have that. Post Vantive, we will not have that. And with the reduction in sales volume and some exits, we're going to be very much not exposed to future VBPs at the level that you see in the industry, first of all. And let me give you some context. I think your question about the Novum update is that it's going extremely well. The market share growth, we, usually in the past, used to gain about 1% market share every year just by Rule of Thumb. We are seeing 2% to 2.5% by the end of this year. And we're going to continue to accelerate that. The acceptance of the pump has been significant. And we're very happy how the team has launched the product. It's one of the best launches that I've seen in my career. Kudos to Heather Knight and her team. We've seen significant uptick in interest, not only the large water pump but also the syringe pump. The syringe pump actually market share growth is actually double that taken from incumbents today who in the past have supplemented our spectrum by not having the syringe availability today because we have it. We're going back to the accounts and actually gaining those back.
Joel Grade: Yes. And I would just add to that. Our infusion hardware is actually up 50% this year and that's on top of actually a significant growth in the prior year as well to that point. So that's certainly been a strength of the business that we anticipate continuing on as we head into 2025.
Joanne Wuensch: Excellent. Thank you very much.
Joe Almeida: Thank you.
Operator: Your next question is from the line of Larry Biegelsen, Wells Fargo. Please go ahead.
Lawrence Biegelsen: Good morning. Thanks for fitting me in. Hey, Joel, obviously people have been trying to figure out the 16.5% for next year. Should we be taking kind of you have the year-to-date continuing ops operating margin of 13.4%. Should we be adding back the stranded costs on Slide 19 to get to kind of a 15.9% year-to-date because the TSAs will offset that? Is there any way to kind of help us understand what the year-to-date? What the '24 kind of underlying number is to bridge that 16.5%? And secondly, the nonoperating expense, I think you said $300 million for continuing ops in 2024. Any color on how much lower those could be next year? Thanks.
Joel Grade: So Larry, first of all, I'll start with the first one. The 16.5%, again, I don't mean to sound unhelpful here, but the bridge between our fourth quarter continuing ops and the 16.5% is really complicated. Our whole purpose of setting the 16.5% out there was to give people something to really anchor on in terms of what our company looks like post separation. And I think the, again, the cost that we're seeing in the continuing ops basis, again, really is impacted significantly, as you said, by the stranded costs. That does not reflect any TSA income in 2024 and does not reflect any impact of cost containment measures in 2024. Now again, we are taking cost containment measures now that will impact '25, but you're just not seeing that in the results in 2024. And so that comparison, again, I wish I could give you a better answer on that bridge, but the 16.5% is really designed to be an anchoring point for our continued build going forward.
Clare Trachtman: Larry, just one thing I'll add. I did include the stranded cost by quarter in our earnings presentation that's available on our website. So you'll be, there's a slide within the deck. So you'll be able to go and see what that impact is on a quarterly basis, both for 2023 by quarter and then for the first three quarters of 2024 as well. So that is available.
Lawrence Biegelsen: And the non-op expense, Joel, how should we think about that next year, how much lower than the 300?
Joel Grade: Yes. I guess I'd say at this point, Larry, there's not -- we don't anticipate something materially different from that perspective, again, obviously, other than size proportionate to the organization.
Lawrence Biegelsen: All right. Thanks so much.
Clare Trachtman: We will see some reduction, Larry, obviously, because we do plan, obviously, to utilize the proceeds from Kidney Care towards debt repayment. So we should see some benefit within our interest expense. But obviously, on the other income expense line, that's something we'll have to look at as well. So premature right now, but I'd say we do expect interest expense to come down a little bit next year.
Lawrence Biegelsen: Got it. Thank you, Clare.
Operator: We have a question from David Roman of Goldman Sachs. Please go ahead.
David Roman: Excuse me. Thank you. Good morning, everybody. I wanted to come back a little bit to the revenue outlook on the 4% to 5%. And maybe if you can contextualize the bridge from kind of 2Q and 3Q of '24 where you grew 4%-ish in the Baxter business ex-Kidney Care from because those are probably be your two kind of normalized quarters this year, given the HST issues in 1Q and the IV dynamics in Q4. So as you go from the 4% to the 4% to 5%, what specifically changes next year that would give you an opportunity to see an acceleration? Because you're already seeing good price. You talked about 50% growth in hardware. Maybe just help us understand what are the levers to get from 2Q, 3Q this year up back into the mid or higher end of the range?
Joe Almeida: Other than compounding growth that you're going to see for the pump hardware sets and going back perhaps to IV pricing and other things that you're going to see that we already had to count on is basically HST getting to normality in primarily FLC. We're seeing the normality already in the US for PSS. And so we expect to see our Frontline Care business under HST to go back to a normal growth pace that had before normalized for the growth in '23 driven by the backlog catch-up and the impact of that in '24 plus the softness that we had in some operational issues. So that going back to normal is the main driver. So you have that level there. And that is our level of confidence that our operational issues will be behind us mostly by the end of the fourth quarter then the normalization of the Primary Care market and the resolution of some of the OUS softness that we saw primarily in the third quarter related to France and China.
David Roman: All right. Got it. Very helpful. And then maybe just a follow-up on the capital allocation side. I think on a year-to-date basis, you've been growing SG&A and R&D in dollars to reinvest for future growth. But as you look into the fourth quarter, you're able to offset almost all of the IV impact through strength in the business elsewhere and maybe some proactive measures you're taking down the P&L. So how can you help us think about the trajectory of internal capital allocation around different spending levels, what that trends in Q4 and how we should think about that into next year?
Joel Grade: Yes. David, thanks for the question. Look, I think the -- as you said, we are making some continued level of investment in our business in order to facilitate some of the growth that we're talking about, which is what you've seen throughout the course of this year. But I think as we think about going forward, again, we are anticipating both the continued allocation of resources to R&D and that we again anticipate continued modest growth in that area, but also gaining leverage in some of the things that we're doing from an SG&A perspective. Again, as we work through our cost-containment measures and stranded costs, as we do head into next year, we are anticipating some level of leverage out of our growth that we anticipate on our SG&A line in particular. So I think that's the way I would say it again. Innovation is going to be a big part of our story going forward. And the continued investment in R&D will reflect that. But again, you should expect some leverage out of the SG&A line as we go into next year.
David Roman: Got it. Thanks so much.
Operator: Due to the constraints of time, we will close the Q&A session here. I would like to thank our speakers for today's presentation and also thank you all for joining us. This concludes today's conference call. Enjoy the rest of your day. You may now disconnect.